Operator: Good morning. My name is Nadia, and I'll be your conference operator today. At this time, I would like to welcome everyone to the América Móvil First Quarter 2025 Conference Call and Webcast. All lines have been placed on mute to prevent any background noise. After the speakers’ remarks, there will be a question-and-answer session. [Operator Instructions] Now, I will turn the call over to Mr. Daniela Lecuona, Head of Investor Relations.
Daniela Lecuona: Thank you. Good morning, everyone. Thank you for joining us today to discuss our first quarter 2025 financial and operating results. We have on the line Mr. Daniel Hajj, CEO; Mr. Carlos Garcia Moreno, CFO; Mr. Oscar Von Hauske, COO.
Daniel Hajj: Thank you, Daniela. Welcome, everyone, to the first quarter of 2025 financial and operating report. Carlos is going to make a summary of the results. Thank you.
Carlos Garcia Moreno: Thank you, Daniel. Good morning, everyone. For the first quarter of the year began going to surge in ahead, continuing the trend from early December as the markets grew increasingly concerned with inflation on signs of a much stronger economy than had been expected. However, as inflation numbers came in within expectations and new payroll figures weakened, 10-year treasury yields came down by a remarkable 50 basis points from mid-January during the quarter at 4.20%. In the period, most currencies in our region of operations are appreciated versus the U.S. dollar, but not in Mexican peso, which remained almost flat over the quarter as the uncertainty over potential new tariffs by the U.S. greatly. In the quarter, the U.S. dollar lost 7.3% versus the Brazilian real, 4.9% versus the Colombian peso, 4.4% versus the Chilean peso and 4.2% versus the euro. Now, the Mexican economy has been slowing down since April of last year, with the index of economic activity reaching 0% in February of this year. And private consumption, as you can see in the slide that we are showing, has plummeted and is now declining 1% year-on-year on the back of uncertainty around the Mexican and then the U.S. election, increasing real grades of interest as inflation declined by rates stay put and the decline of economic activity made worse by a significant tightening of public expenditures. So, as you can see, there's been really a vertical drop in private consumption in Mexico over the last several months to a point that is now negative. Now in the first quarter, we added 2.4 million postpaid subscribers, with Brazil leading the way with 987,000 clients, followed by Colombia with 163,000 and Mexico with 133,000. In the prepaid segment, we posted 1 million net prepaid losses as both Mexico and Brazil disconnected clients, 831,000 and 545,000, respectively, while Argentina added 230,000 subs and Colombia added 434,000 subs. So, prepaid disconnections were limited to Brazil and Mexico. In the fixed line segment, we connected [446,000 new broadband accesses. Mexico was the main contributor with 165,000 clients, followed by Brazil with 98,000 and Central America with 52,000. Both lines and PayTV units fell by 130,000 and 32,000, respectively. Mobile postpaid and fixed broadband were the main drivers of growth of our client base, increasing by 6.1% and 4.3%, respectively, again you can see this in this slide. Our first quarter revenue was up 14.1% year-on-year in Mexican peso terms to MXN232 billion, with service revenue expanding 15.8% and adjusted EBITDA, 13.3%. The latter figures partly reflect the year-over-year appreciation of most currencies versus the Mexican peso, particularly the Colombian and Chilean pesos, which were up 18% and 14% versus the Mexican peso. The dollar, which was up 17.7% and the euro upset 14.1%, again versus the peso. So that essentially means that with the exception really of Brazil, all other international operations of América Móvil were worth more in Mexican peso. At constant exchange rates, we adjust for these exchange rate movements, service revenue increased 6.1% and adjusted EBITDA 4.0%, adjusting for sale of towers by Telmex a year before. Most of our operations saw the EBITDA margins increased sequentially. Our wireless service revenue climbed 5.7%, decelerating some part from the prior quarter as prepaid revenue continued to slow down mostly on account of weak economic activity in Mexico, as we've seen before. Posted revenue growth remains fairly stable across the board and actually accelerated slightly to 8.8% when our Chilean operation is included. On the fixed line platform, service revenue growth came in at 6.7%, with corporate networks revenue appearing to slow down. This effect had mostly to do with the fact that in the year earlier quarter, that line item has had a very strong showing. And you can see this again in the slide. Broadband revenue growth maintained its pace at 9.8%, while that of PayTV in at 8.7%, the fastest pace seen in many quarters, reflecting on the one hand in cooperation of Chile, but also better growth in Central America and Austria and Eastern Europe. And we are seeing less of our drag in Brazil, where although growth is still negative, the rate of decline has slowed. The Central America and Eastern European blocks were top performers in the period, exhibiting faster service revenue growth in both the fixed and the wireless platforms, and they have had the preceding quarter. Our first quarter operating profit totaled MXN44.8 billion, a 10% year-on-year increase after depreciation and amortization charges that were up 16%, which partly reflects the incorporation of our Chilean operation. With our comprehensive financing cost decreasing slightly from the year earlier quarter, our net income was up 38% to MXN18.7 billion and was equivalent to MXN0.31 per share, $30 per ADA. Our net debt end of March stood at MXN500 billion, not including capitalized lease utilizations. It was equivalent to 1.5x last 12 months EBITDA. In cash flow terms, our net debt increased MXN11 billion in the quarter, and it helped us fund capital expenditures in the amount of MXN25 billion, share buybacks of MXN4 billion and MXN7 billion in labor obligations. So that's the summary, and I will pass the floor back to Daniel so that we can begin the Q&A session.
Daniel Hajj: Thank you, Carlos. We can start with the Q&A session.
Operator: [Operator Instructions] The first question goes to Leonardo Olmos of UBS. Leonardo, please go ahead.
Leonardo Olmos: My question is going to be centered on regulation and laws in Mexico. So, I think what we're seeing now is on unprecedented maybe for many, many years. If you could first discuss the new telecommunications law legislation that could impact the spectrum distribution and what your positioning on it? So potentially, regarding spectrum to competitors, to new competitors? And second is what the Trump administration is proposing on deliberation date, if there is any type of impact from Mexico? Because there was a document that by that data is released, mentioning that they were concerned, the U.S. government was concerned about concentration, high concentration of market share and telecommunication in Mexico, if that could be a concern to you?
Daniel Hajj: Thank you. As we -- as you know and everybody knows, Congress is currently discussing the proposals made by the President Sheinbaum regarding the new telecommunication law and some changes in the competition law. Those are right now discussing in the Congress. We are monitoring closely both proposals and providing comments to abuse to the Congress people, okay? So that's what we have now. We don't have anything else. Everybody knows what is -- what the proposals have. I agree on what you're saying about the spectrum. So, we are giving our views and we can discuss that in more detail when both laws have enacted, okay? But right now, nothing to say. The laws are there. Everybody is discussing. We're giving our point of view. And that's all. So, I think in the next two months, as the President said, they are going to be enacted. So that's what we have right now. On the other side, I don't exactly understand what you said about President Trump, about what -- if you're saying about the competition and dominance and all of that, well, that will be included in these laws and these laws has been discussing right now. So other important issue, and we put it in front of the first page of our results, is the market share that we have in fixed broadband and TV, we have 27%, and Telcel has 55%. So that does not include the CPE that has also some subscribers. So, I think we are discussing that. We think that we are not a dominant player anymore and the laws has to show that. So, that's mainly what we have been discussing.
Operator: The next question goes from Walter Piecyk of LightShed. Walter, please go ahead.
Walter Piecyk: I think can you just address the impact of tariffs potentially on handsets? How do you expect to if anything -- impact your business?
Daniel Hajj: Well, the tariffs in Mexico, we -- no changes on tariff on handsets right now in Mexico and Latin America. I don't know that if we can have something in the future. So, at this moment, even it's been a little bit better because the exchange rate has coming a little bit down, and those are -- we buy everything in dollars. So, in Mexico, let's say, price of handsets has been better. So, at this moment, we don't have anything on tariffs, and we don't expect anything on tariffs for the next months.
Walter Piecyk: Yes. Sorry, I was going to continue, just kind of noting perhaps the trade deficit that exists between Mexico and China? And if there's anything perhaps given everything that's happening in the world and how manufacturing can move to different locations, whether that could extend in terms of Mexico's relationship with China?
Daniel Hajj: Well, I think there's big discussions on that on the trade deficits, trade deficit in the U.S., trade deficit in Mexico with China. So, it's going to be very difficult to understand what is going to happen in the future. But I think that Mexico will have a very -- in my view, a good probability that will be everyday manufacturing more and more in Mexico to go to the U.S., manufacturing more with Mexicans and doing things in Mexico, not importing from other countries and then exporting to the U.S., I think that's going to change a little bit. But if we produce here, I think Mexico will have a good opportunity to grow. So, I think all these discussions and what is happening in the world, I hope that will be benefit for Mexico.
Walter Piecyk: Carlos also obviously mentioned we've seen the results, the impact of some of the economic issues in terms of consumer demand, I guess, in Mexico. I mean, you guys have both been there a very long time. And obviously, Carlos, very involved in Mexico in general even before mobile. Just curious, kind of your thoughts on time line and how long you think that this will progress through your numbers? How deep of a dip, how soon of a recovery, I suppose?
Carlos Garcia Moreno: I think what I was saying before is -- we had an extraordinary situation last year, second half of last year because of the confluence of many events. One was the election in Mexico, which always leads to a slowdown in economic activity for the month after the election and the beginning of the new administration, that's our historical pattern. Then you have -- we had also the elections in the U.S. at this time were probably more eventful than probably has been -- had been expected in some more time. And we have, as I mentioned, very high and increasing real rates of interest because policy rates were constant, but inflation was declining rapidly. So, the real rates of interest were going up, and that obviously had an impact on overall spending, both consumption and investment. And then to make things somehow worse in some extent in terms of economic activity in short term. The new administration came in with a clear commitment to put order in public finances, which meant reducing the fiscal deficit, and they've been doing with a lot of feel. We've seen the numbers through February this year. And they are doing better than budget. You have a primary surplus that has increased significantly, not compared to last year, but even to two years before. And the financial benefit is even lower in -- after inflation of the year than it was two years ago, not to mention last year. But our view is that this affects -- all these three effects that I have mentioned are going away. Obviously, there's the elections have happened and the uncertainty on the tariffs, I think, will be doing relatively soon. The real policy rates are coming down in Mexico. They have been coming down, and we expect them to continue to come down. So real rates of interest are now beginning to roll down. And we expect that the government will be in a position in the second half of the year to be a bit more forthcoming with their expenditures. So, I think that our current expectation is that we are seeing the bottom right now in this first quarter. And we would expect to see -- this probably the bottom, and we can expect to see recovery, second half of the year. If there's a lot of people that believe that the USMCA agreement may be negotiated early earlier this year. And to the extent that's the case, I think that it will provide an additional boost to the economy, as Daniel has been saying. And so yes, we think we are quite positive and we expect in for the second half of the year. I think we are seeing the...
Operator: The next question goes to Marcelo Santos of JPMorgan. Marcelo, please go ahead.
Marcelo Santos: I have two. The first is regarding Mexican prepaid. I understand in the release you attributed the weakness mostly to the economy. But I would like to see if you could discuss a bit the competitive angle. We are seeing some MVNOs growing very aggressively in prepaid. Do you think this is affecting -- what could you discuss of the competitive angle on prepaid in Mexico? And the second question is regarding the appetite of América Móvil for M&A in the region. There are some players that are divesting some assets and wanted to know what do we think about that?
Daniel Hajj: Well, let's talk about Mexico. First, I want to -- we already -- we talk a little bit about broadband and postpaid. I think in Mexico, we have a very good month on broadband -- quarter, sorry, on the broadband, and on postpaid, I think we are doing good. People is consuming more. ARPU is going up in postpaid. And in broadband, we're still gaining subscribers and moving to fiber and doing so. I think when you talk about broadband, fixed and postpaid, we're doing okay in Mexico. And when you talk a little bit about the prepaid, that, I think it's the concern that I have been reading this morning is, well, first -- and not the only thing is the slowdown of the economy in Mexico. I think that's the first thing. You see that the ARPU is declining a little bit and the ARPU is declining because our consumers are spending a little bit less than they used to be. When it's prepaid is really tied to the economy. So, when things are good, people consume more, ARPU growth when things are not so good slow down, then people are consuming a little bit less. In the other side, we have a very aggressive competition in promotions of some MVNOs like BAIT is very aggressive, and they are growing. The difference is that, well, they have an ARPU of MXN38 and we're having an ARPU of MXN177. So, the difference between their subscribers and our subscribers is maybe 3x, 4x difference on that. So, we have been having and looking and our strategy is to look for good -- all of them are good. Maybe what is happening is that there are subscribers or the promotions that the market, and they are having are so aggressive that they just want to not recharging, give service for free. And that's an issue, and I hope that will solve in the future, but they have been doing that for some time. And the let's see what is going to happen when start to move a little bit and take out these promotions. Other signs that I see this quarter is number portability they have been gaining in number portability, let's say, the same, but what I see in the numbers, but losing more subscribers in number portability. So, number portability has been not so good as they used to be last year. So subscribers, when they start to move their promotions, then they are going to decide in which other company they are going to do so. The only thing is we're focusing in very good and the better on the highest ARPU customers in prepaid and in postpaid. Our number portability is doing a little bit better than last year. So, I think we are starting to see better numbers on that. And that will be exactly what is happening in Mexico. So big and promotions where people is not paying or paying very low amount of money. And then when they want to recharge, they are going to do that. And when this promotion will land, I think it's going to be interesting how they are going to retain those customers. ARPU's MXN177 in Telcel, MXN38 in the other company. So, it's exactly what is happening. It's not only one thing. You have slowdown, plus promotions, plus our strategy. All of that is what is happening here. And another -- and I want to do another announcement that I have been -- since the last call that we don't give a guidance for CapEx budget. We have that announcement, and the CapEx for this year is going to be lower than last year. It's going to be MXN6.7 billion. And it's only because we're seeing a slowdown in all the economies, a little bit slowdown. We have been investing a lot, moving a lot with 5G. We have been doing the last three years, more fiber, a lot on IT systems. We have a lot -- all our cloud and data centers all in place. So that gives us a change right now this year with the slowdown that will reduce the CapEx to MXN6.7 billion. That is what we decided yesterday in the Board. I feel very comfortable on that. And that's what we decide on that.
Marcelo Santos: Thank you. And M&A, do you have any question?
Daniel Hajj: On the M&A, well, we're open to M&A, I think will be a little bit difficult that in the region will have something alone. But if you are saying because Telefonica is selling their assets. We are aware of that, and we're open to see if something fits in América Móvil strategy that we're open to see anything.
Marcelo Santos: Perfect. Just on the CapEx, does this change your three-year CapEx view? Or is it more a relocation of CapEx between the years, just to understand how these talks with the guidance?
Daniel Hajj: We don't know. It's going to be very difficult to see what's going to be the CapEx of next year. But I think this year is going to be MXN6.7 billion. Next year, difficult to say. But I don't think that it's going to go so high as we predicted, but I don't know, depending on the growth, depending on the traffic, depending on a lot of things that we're going to see around this year.
Operator: The next question goes to Phani Kanumuri of HSBC. Phani, please go ahead.
Phani Kanumuri: So, the first question is regarding your corporate network revenue in the fixed segment. Are you seeing some pressure due to the global concerns on growth on the corporate segment revenue? And do you expect the growth rate to continue in this segment? My second question is regarding Colombia. The margins have come down year-on-year as well as quarter-on-quarter. What is driving the margin decline in Colombia?
Daniel Hajj: Well, I'm going to start in Colombia. I think Colombia is doing much better. Colombia, our service revenue is growing 6% this quarter. Wireless revenue, 8.3%. So, we're growing, and we're growing more. That's why we're investing a little bit more in growth. And that's the reason why our EBITDA in terms of percentage reduced a little bit, but we grow our EBITDA 2.4%. So, the EBITDA is growing, and we are doing good in the market, we are recovering. And I think we're going to have a good year in Colombia, 2025 is going to be a good year for us. And the other thing in the corporate segment, Oscar can talk a little bit about that. I think we are very strong. We have been investing a lot in salespeople, in apps, in services, in alliances in our data centers, and it's a very important market, and we're going to continue to be focusing on that. Sometimes, the corporate -- but Oscar can talk a little bit about that. Sometimes in the quarter, we gained some big customers. So that's why if we grow a little bit more, other ones is in the other quarter, but all overall, we're focusing in the corporate segment, and we want to grow and be strong on that. But Oscar can be -- with more detail.
Oscar Von Hauske: Thank you. As you mentioned, last year, we won a very large project. And now we have a very, very strong pipeline. As you know, with the new conditions and the people is, you're taking more time to get the decisions of what we see in the pipeline around cloud services, digitalization, data centers, we see a very, very huge pipeline. So, we believe that we will catch up through the year. As you know, the people is taking more time to take a decision right now given the economic situation. But the pipeline that we have is very, very strong, as Daniel said.
Operator: The next question goes to Vitor Tomita of Goldman Sachs. Vitor, please go ahead.
Vitor Tomita: We have two questions from our side. The first one is a follow-up on the spend reduction, the reduction in spending by prepaid customers in Mexico. Do you have any visibility on whether customers are simply reducing Internet usage or switching to lower-cost competitors to some extent or using WiFi a lot more? Just to check if you have any visibility on how people are being able to actually reduce their spending without affecting their data usage or their data habits? And the second question from our side on a similar note also discussing Mexico. Could you give us a bit more of an update on how you are seeing the competitive environment for broadband given the -- following the good results in broadband this quarter?
Daniel Hajj: On the prepaid, what I see and what I'm looking on the prepay on the reduction on ARPU because of the slowdown in the economies because people is delaying a little bit the recharge of the phone. You sell a card of 15 days. And sometimes they recharge before because they have all the -- their data finish, sometimes they recharge today, they wait a little bit to wait one or two days and then they go and recharge, and that gives us the reduction on ARPU. So, people is delaying a little bit, the buying cards and recharging the cards is what I see is -- and it's what is happening right now. On the broadband, we're going to be still -- we're doing good. And we're going to still be aggressive. And as we put more fiber, we're going to change more customers. We have 90% of our customers connected through fiber. And I think we're going to have more loyal customers with fiber, good speeds and good prices, I think we are very aggressive in the market in the broadband, and I think that's what is happening right now.
Carlos Garcia Moreno: Just to give you a bit more color on the prepaid. Vitor, the prepaid ARPU was going, a year ago, 4.5%. By the third quarter, it had a slowdown to 3.1%, 0.8% in before, and it was minus 2.2% in the first quarter of the year. So, this is very much in line with the chart that I showed you with the decline of domestic consumption. That's basically the same timing. And as Daniel said, the whole issue of prepaid before reason for prepaid to achieve is that people have more control over their spending. And if they become a bit more cautious, more uncertain about the environment, then they typically reduce spending, they will have to spend in and out every month as they would with a regular postpaid plan, okay? So that's the beauty of prepaid for the people and they address their spending very rapidly. The first signs of slowdown of the economy.
Daniel Hajj: And as I said, this is a slowdown of economy and also big promotion for competitions are not the ones that are doing. It's not only one thing, what's happening in Mexico. There's a couple or three things that are -- that we already explained. And it is -- the market is there. So, that's -- I think will be better in the future. I don't know for how long it's going to be so aggressive. We have the best network. We have very good coverage, the best systems, IT. So, with very good quality in the network. So that also counts. It's not only promotions other things count also on that.
Operator: [Operator Instructions] And the next question goes to Lucca Brendim of Bank of America. Lucca, please go ahead.
Lucca Brendim: I have two here on my side. The first one, you mentioned a little bit about the recent M&A moves that we saw in Latin America. I just wanted to check if you're already seeing some changes in terms of competition in the competitive environment in any of the regions where we have seen M&A or we're seeing a lot of conversations about what could be happening? And the second one, now that you have incorporated the Chilean operations, could you give us an update on the strategy for the region if the main focus will be increasing profitability? Or what are the main growth drivers that you see for the region?
Daniel Hajj: For the region or for Chile?
Lucca Brendim: For Chile.
Daniel Hajj: Okay. Well, on the M&A, I think -- well, everybody understand that M&A brings consolidation. Consolidation is much better for all the markets, okay? So stronger competitors. And that will be good for us. I don't think that will be -- that will be the case of Colombia, let's say, in the case of Argentina, I think consolidation is not bad. On Chile, we have -- what you said -- what's the question? If we want to go for profitability of our market share. I think, in Chile, we want to go for profitability and for market share. I think still, we have not very high market share in the wireless market, and we're growing. We're going to grow there. We are changing the network. We're putting more coverage. We're doing 5G. We're buying spectrum. So, we're in prepaid, and in postpaid, we're going to be targeting more customers, more market share and try to grow there. We are still very small in market share. We want to grow. In the broadband, we have also a good strategy. We're giving TV, good channels. We have the best TV and we're moving to fiber. We're moving very fast fiber, and that's been very good for us. Churn has been reduced. So, we are having not a six months plan in Chile. We're having a three-, five-year plan in Chile, and that's what we are targeting. Moving to fiber, putting best network, doing quality, very, very competitive. And the other that Oscar is saying, we still have a long way to go on the synergies. So, merging these, the two companies still have a lot of synergies to go. So, I'm sure that we're going to grow our market share, and I'm sure that we're going to grow our EBITDA margin in the future. So that's what we have in Chile.
Operator: The next question goes to Carlos Legarreta of Itau. Carlos, please go ahead.
Carlos Legarreta: A couple of questions on my end. And hopefully, they're not just housekeeping questions. But on Chile, Paraguay and Uruguay that you're reporting together now, you mentioned in the press release that these are pro forma figures for Chile. And yet there's a double-digit increase in EBITDA, a massive increase in the EBITDA margin. And we just want to understand what is the nature or what is behind this? Is this Chile doing much better? Or is there an improvement perhaps in Paraguay and Uruguay? And sort of similar question also in Central America, you also had an outstanding increase in the EBITDA margin. And there's not really a ton of explanation in the press release. So, I would love to hear your thoughts on that?
Daniel Hajj: Well, first, in Central America, you know that we have this, concern had given this cyberattack in last year in January, a little bit of February. And the comparison between last year and this year is different. But if you look what we do in fourth quarter and what we're going to have in the third quarter, we have been, as I said, investing very good in Guatemala, buying frequency, doing more coverage in 5G. Also El Salvador doing more fiber all around Costa Rica, doing Honduras, Nicaragua. So, all around Central America, we have been investing for the last two, three years, good, strong, and we're seeing good performance in our shares. In the other side, we are being very aggressive on the cost and expenses. So, we have to reduce cost and control expenses. So, we are doing good. This quarter is a little bit difficult to compare against last quarter of last year -- at the same quarter of last year, but you are going to see a second quarter with a good comparison, and you're going to see very good -- not the growth that we have right now, but we're going to see very good growth in Central America. I think we're doing good. Not only Central America, in the Caribbean, we're also doing good. So Dominican Republic has been doing good. Also, Peru has been growing and gaining market share. Colombia, we're doing very strong. Eastern Europe, we are growing and being -- gaining also some market share and reducing costs. So, to be honest, all overall, in América Móvil, we have because all the investments that we have been having for the last five years, four years, all the control of the costs that we are having, investing in our people, training and doing more on all the corporate side. I think we have a good quarter, a quarter where we're gaining market shares and being good in control cost and EBITDA. So, all overall, I think in Paraguay also, you are talking about Paraguay and Uruguay, we're doing good. I don't know if you want to talk a little bit, Oscar, about Paraguay, Uruguay, Chile?
Oscar Von Hauske: Before talking about the actual operation, Paraguay and Uruguay, and just to clear up your doubt, Carlos, the financial statements do not have Chilean pro forma rate. Financial segments do not have Chilean pro forma rate. Now in the section, Southern Cone, which is the first time that we come up with this section as Southern Cone. We did want to include pro forma so that you could look for your models. From here now on, you could have some basis of what the numbers are, and you can basically come to terms with that, okay? But we would expect that as soon as Argentina ceases to be hyperinflationary, which will probably be as soon as next year, we can group all of the financials and the operating statistics of Argentina, Chile, Paraguay and Uruguay within the same group, okay? So, I would expect that we were going to have the combined numbers, again, financial and operational for Southern Cone beginning next year. This year, we will still have Argentina separate. And just to give you an idea of what it looks like for the rest of the group, which is Uruguay, Paraguay and Chile, we are providing, for this purpose, the pro forma figures. And on the operations...
Carlos Legarreta: Sorry.
Oscar Von Hauske: Yes, yes. Sorry? No, no, please?
Carlos Legarreta: I know the consolidated P&L -- just specifically, I mean, we can follow up with Daniela, but in the Chile, Paraguay and Uruguay section, the revenue increase looks like it is pro forma, yet the EBITDA increase is 46%. So that doesn't look pro forma. So either there's an inconsistency or there was perhaps a massive improvement in the profitability?
Oscar Von Hauske: No, Carlos, it is pro forma. It is pro forma in peso, I talked about the peso, yes.
Carlos Legarreta: Right, right. So, if it's not an inorganic effect, what is the driver behind the margin increase?
Daniel Hajj: We did have -- just to tell you, as the one year ago, the EBITDA wasn't so good. We have been growing our EBITDA margin in Chile. If the question is because of the EBITDA margin, it's pro forma, but we are growing very good, our margins because all the synergies that we're having in Chile. That's what is happening. If you -- that's really the answer to your question. We are having a very good EBITDA and growing our EBITDA in Chile, and Chile is doing good. And the synergies are working very good. And against last year, we spent a lot of money. We take out some people. We reduced some costs that we have and count cost, a lot of -- all the synergies, yes, maintenance costs, the new network as we're saving some money with the new network. So yes, that goes directly to our EBITDA numbers.
Carlos Legarreta: That's great. That's exactly my question. I appreciate it.
Daniel Hajj: Okay.
Operator: We have a follow-up from Vitor Tomita of Goldman Sachs. Vitor, please go ahead.
Vitor Tomita: Just a very quick follow-up on the new CapEx guidance. Back in the previous earnings call, it was mentioned that there could be some additional CapEx for Chile. Does this new guidance already include what you plan to invest in Chile or is it separate?
Daniel Hajj: No, no, no. All our CapEx guidance includes all the CapEx of all the companies, so includes Chile includes everything, okay? We used to give a CapEx guidance before the three-year CapEx guidance. And I think the last question is if we are going to -- the reduction that we have this year, maybe increase it for next year. I don't know. I don't think so, but I don't know. I think the reduction this year will not increase the normal guidance of CapEx for next year. I don't know, but we feel that we can save some CapEx for the future.
Operator: We have no further questions. I'll hand back to Mr. Daniel Hajj for any closing comments.
Daniel Hajj: I just want to thank everyone for being in the call. Thank you very much.
Operator: Thank you. This concludes today's conference call. You may now disconnect your lines.